Operator: Please standby. Good day, everyone, and welcome to the A.C. Moore first quarter 2011 earnings conference call. Today’s conference is being recorded. At this time, I would like to turn the conference to David Stern. Please go ahead, sir.
David Stern: Good morning and welcome to the A.C. Moore first quarter 2011 conference call. Before we begin, I will remind you that statements contained in this conference call that are not historical facts constitute forward-looking statements within the meaning of Securities Laws. These statements are subject to risks and uncertainties, which may cause results to differ materially from current expectations expressed or implied by such statements. The risks and uncertainties that are most likely to cause actual results to differ materially from our current expectations are described in our filings with the SEC. A.C. Moore undertakes no obligations to update or revise any forward-looking statement in the future. Now, I’ll turn the call over to Joe Jeffries, CEO. Joe?
Joe Jeffries: Thanks, Dave. This morning, in addition to David Stern, I’m joined by David Abelman our Chief Marketing and Merchandising Officer. I will begin by commenting on our performance and discuss some operational initiatives in the first quarter. Dave Stern will take you through our financial performance for the quarter and then David Abelman will touch upon some of our activities in merchandising and marketing. For the first quarter 2010, total sales decline by 2.5% from the same period a year earlier, and our same-store sales declined by 2.6%. It’s important to point out that as referenced on the prior call, Easter occurred three weeks later in 2011 than in 2010. Since our quarter ends with fiscal March, the Easter shift caused a shift in sales for the three weeks preceding Easter from the first quarter in 2010 to the second quarter in 2011. As a result, seasonal-related products accounted for a large part of our comp decline. Our gross margin ended the quarter at 42.9%, which is a 10-basis point improvement, year over year. Shifting our attention towards our merchandizing departments and inventory management efforts, we saw good performance in many of our merchandizing departments during the quarter, even with the Easter shift and the traffic declines that this shift caused. Those departments that performed well are celebrations, readymade frames and needle crafts. David Abelman will discuss the merchandizing and margin performance in more detail during his portion of today’s call. Inventory ended down 5.1% at 115.7 million at cost, a reduction of $6.3 million. The quality of our inventory continues to improve as we move to change the ratio of warehouse to store inventory and discontinue the active. In summary, inventory is down overall and has been shifted to the stores leading to better end stocks. During the quarter we saw a level of execution continue to improve throughout the organization. This type of execution is expected as we focus on improving our operating performance in 2011 versus 2010. I’d like to recap our store opening and closing activity that we discussed on the prior call. During the quarter we opened two new stores, one in Pottstown, Pennsylvania, and one in Williston, Vermont. And we closed one store, bringing our Nevada model total up to 30% of the total store base. Stores remodeled to the Nevada format generated a 380-basis point improvement versus the traditional store sales trend on a comp basis while delivering a respectable return on investment. Additionally in anticipation of questions about the company’s February 15 announcement that the Board of Directors is exploring strategic alternatives, the company does not intend to disclose any developments regarding this process, unless the Board has additional information to share. Now I’d like to turn the call over to Dave Stern, who will update you further on our financial performance. Dave?
David Stern: Thanks, Joe. I’ll start with a review of results for the first quarter followed by a review of the cash and inventory positions as of April 2, 2011, and finish by providing some insights regarding our expectations for the 2011 fiscal year. Sales for the quarter were 102.7 million, a decrease of 2.5% compared to sales of 105.4 million during the first quarter of last year. This decline is primarily due to a decrease in comparable store sales of 2.6%. The comparable store sales decreased, which composed of a 2.1% decrease in transaction and a 0.5% decrease in the average ticket. As Joe referenced, first quarter sales were negatively impacted by the Easter shift this year. At the end of the quarter there were 135 stores in operation compared to 136 at the comparable point last year. Gross margin for the quarter was 42.9%, potentially flat or a 0.1 percentage point increase from the first quarter of last year. Selling, general, and administrative expenses for the quarter were 50.7 million, a decrease of 1.6 million or 3.1% compared to last year. This is primarily due to reduced advertising spend and cost related to the retirement of the prior CEO in Q1 of last year, partially offset by increased store payroll expense. Selling, general, administrative expenses were 49.3% of sales compared to 49.6% of sales in the first quarter of last year. Depreciation and amortization expense was 4.0 million and 3.7 million in the first quarter of 2010 and 2009 respectively. Store pre-opening and closing cost for the quarter, for the first quarter of 2011 was 0.6 million and were primarily related to cost for the two stores that opened, the one store that closed during the quarter, and ongoing operating cost for stores previously closed. Fiscal 2010 first quarter store pre-opening expenses of 0.1 million were primarily related to the one store that opened in that quarter. Net interest expense for the first quarter is above 2011 and 2010 with 0.2 million. The net loss for the first quarter is 7.4 million, or $0.30 per share, compared to a net loss of 7.6 million or $0.31 per share for the first quarter of 2010. For the first quarter of 2011, capital expenditures were 2.0 million compared to 2.4 million last year. Moving to the balance sheet. As of April 2, 2011, cash was 26.7 million for a decrease of 5.3 million from the comparable point last year. Unused availability under our credit facility was 37.8 million at quarter end. As of April 2, 2011 inventory was 115.7 million or 6.3 million lower than at the comparable point last year. Total inventory on a per-store basis was down 4.4%. Importantly, all of this decrease was in the distribution center. Store four-wall inventory was higher than last year at the end of the first quarter. Looking to full-year fiscal 2011, we continue to anticipate generating a lower net loss than in 2010. No store openings beyond the two that occurred in the first quarter, remodeling 4 to 6 stores during the year, capital expenditures in the range of 8 to 9 million, to end the year with approximately 30 million in cash, and to close two stores through lease expirations. If we’re able to negotiate advantageous early these terminations for underperforming stores that include exit or closure fees, those additional lease terminations could affect our projected net loss and cash position. Now I’ll turn the call over to David Abelman, Chief Marketing and Merchandising Officer.
David Abelman: Thank you, Dave. I’ll provide brief overview on our merchandise and marketing initiatives in Q1 2011, and provide some insight on progress we’ve made of profitably growing our business in destination departments. While our overall comp sales continue to trend negative, we continue to have more businesses trending better and comping positive. These shifts was a large factor in our first quarter results. Easter holiday, falling three weeks later than last year, moved much of our customer seasonal purchases to second quarter, and as a result seasonal and home décor related products accounted for the majority of our comp loss in Q1. Departments that have a comp sale increases included celebrations, based our strong cake decorating and candy making business, our needle craft business led by Yarn, and our readymade frame business. Readymade frames, which includes both wall frames and table-top frames was one of our largest resets during Q2 of last year. We’ve made significant enhancements to our assortment and the way these products and merchandising and marketing. This continues to be a strong business for us, and in Q1 we’ve experienced another quarter of comp sales growth. While we continue to strategically refresh businesses in 2011, based on sales and margin potential, we do not intend to rebuild businesses like we have over the past two years. We now believe that our assortments are much more compelling to our customers and we are fully focused on driving profitable growth. Enhanced marketing and advertising, in-store presentation, great in-stocks, and our overall execution are our core focus to drive comp sales. As mentioned earlier, our gross margin rate was essentially flat in Q1 2011, up ten basis points to 42.9%. We remain competitive in the markets that we compete and believe that our everyday and promotional price management will lead to margin enhancement opportunities. Let’s briefly touch upon advertising and marketing. Our largest spend is print advertising, which is primarily circulars. We have made significant progress in diversifying our marketing and advertising mix. Because of this diversification, we lowered our marketing spend in Q1 based on testing and validation over the last year. We now have a comprehensive integrated marketing and merchandising program that is no longer solely reliant on print advertising to drive traffic in sales. We know who our customer is and we believe that our product mix, our advertising and marketing mix, and our in-store presentation offers crafters a better differentiated choice in the markets in which we compete. Now, I’ll turn the call back over to Joe.
Joe Jeffries: Thank you David. I think this will be a good time to start taking questions. Operator, we can take the first question.
Operator: Thank you. The question-and-answer session will be conducted electronically. (Operator Instructions). We’ll go first to John Zaro of Bourgeon Capital.
John Zaro: Hello.
Joe Jefferies: Hi, John.
John Zaro: Oh, hi, hi. I didn’t realize – I think I pushed the button before it started. Hi, guys. Quick question, just in general. Can you talk about what’s happening, I guess, going forward, you know, after the sort of change in the Easter vacation and – the stores look good. I’ve been to a couple of them, they look good and they look crowded and they really look nice. My second question is, is it really possible that this deal can – or whatever you guys are working on, or whatever, whoever approached you can really take three or four months? I mean, it seems like a lot of time for you guys to spend on something that shouldn’t take that long. You know, either negative or positive.
Joe Jefferies: Hey, John, this is Joe. I’ll answer the questions in reverse. I can’t really elaborate any further on the strategic alternatives except to tell you that the – it’s progressing. It’s normal course of action and as soon as the board has something to share with us, with everyone publically, they will. But rest assured, we’re focused on driving the business on a daily basis and we haven’t lost that focus. I appreciate the comments about the store, and that’s really reflective of the merchandising initiatives. Our store planning team and our store operation teams in the field have really done a great job with improving on our execution across the chain. And I think it’s showing itself, and what’s most important, our customers are seeing it. Obviously, the Easter shift slowed traffic from the first quarter and pushed it into the second quarter. Historically, we don’t comment on forward-looking months and quarters, as you know, and I’m not going to start that today. But we’re excited about what the rest of the year has in store for us as a company.
Operator: Anything further Mr. Zaro?
John Zaro: No, that’s it. Thanks.
Operator: You’re welcome.
Joe Jefferies: Thanks, John.
Operator: Our next question comes from Karru Martinson of Deutsche Bank.
Karru Martinson: Good morning. Just in terms of the comps, what was the breakdown between traffic versus basket for the quarter?
David Stern: Traffic, the comp increase is 2.6%, traffic was down 2.1% and average sticker was down 0.5%.
Karru Martinson: Okay. I know you guys don’t talk about forward guidance or anything, but I was thinking just from a broader prospective, when you guys look at inventories and orders for the fall and Christmas, what are you seeing on terms of price inflation and shipping costs?
David Abelman: This is David Abelman. I’ll answer that question. With raw materials, a lot of labor pressure over in China. There’s been some price moves that we’ve taken this year, but any increases that we’ve had on a cost of goods have been reflective in retail so it will not have an adverse effect on margin.
Karru Martinson: Okay. And then when you look at the competitive landscape, you know, JoAnn’s has gone private and fairly aggressive store openings, Michael’s has also talked about ramping up their stores, what are you seeing in your markets? Is there an increase competitive footprint that you’re going up against?
Joe Jefferies: Hi. This is Joe. No question, there’s been a ramp up here recently of competitive openings across the country. We’re certainly seeing some expansion into some of the markets in which we do business. A few have opened up this year. We opened up too in competitive markets as well. I’m seeing more activity at the moment from JoAnn’s and Hobby Lobby. Keep in mind that most of our markets in which we do business today, we compete head on. So it’s – we’re not devoid of any competition and haven’t been for several years, as you know.
Karru Martinson: And just lastly, in terms of the core strengths here, you were talking about celebrations and the cake business and so forth, when you look at kind of what the trends are for the arts and crafts category, what are some of the areas that we should be looking at for the upcoming year where we’re expecting strength; whether it is kind of more home décor, seasonal coming back after a couple weak years? Where are the drivers going to come from for the top line?
David Abelman: This is David Abelman. I think some of the categories, and I’ll add a little more color on some of the categories that we talked about. The cake and candy making business, the cake decorating with the strength of Wilton and the Wilton classes, and a lot of enhancements that they have to their product line that’s now hitting the shelves, as well as the yarn business, which continues to be very, very strong with a back-to-basics component, less trend in that business, better colors, better fabric. And there’s some new product launches in that area as well, so that will continue to drive business in that important category. And we’re making other enhancements to that business as well as it continues to share some strength. I think throughout the store, we’re in a very competitive business. But department by department, we are seeing some areas that we’ve successfully differentiated and continue to find growth in all of our destination departments. And seasonal, we continue to invest in that business as we’ve talked in prior calls and we think we’re well prepared for the back half of the year.
Karru Martinson: Thank you very much, guys.
Joe Jefferies: Thank you.
Operator: Our next question come from Bernard Sosnick of Gilford Securities.
Bernard Sosnick: Good morning.
Joe Jefferies: Good morning, Bernard.
Bernard Sosnick: I’m looking at your accounts payable, which you’re up 30% year over year and I’m wondering if you could give us a little bit of color on that in as much as the inventory levels are down.
Joe Jefferies: Sure, Bernie. As you mentioned, we did get some positive leverage with our accounts payable. That’s primarily going to be driven by the timing of purchases within the quarter. There’s been no special arrangements or anything like that. We continue to get strong support from the vendor community as far as terms. And really what’s going to drive fluctuations quarter over quarter is the timing of those purchases.
Bernard Sosnick: Okay, I mean, but the accounts payable was up around – was it 8 or $9 million on a $6 million decrease. It seems like there’s something a little bit more going on. Is there anything more to be added?
David Stern: There isn’t, Bernie. Right now we ended the quarter, I should say, with AP-to-inventory leverage about 33%. Last year we ended the quarter at a comparable point in time at 24%. So there has been that increase, but again, there’s been no special arrangements, continued support of the company through the vendor community and the timing of purchases within the quarter.
Bernard Sosnick: Whoever it is, I wish you feel better fast. But what then can you tell us about the quality of inventory and aging of inventory?
Joe Jefferies: We feel good about the – when we look at inventory, as we’ve talked about on prior calls, we don’t talk about it as much anymore about the systems that we put in place to manage our inventory. We spend a lot of time and a lot of effort focusing on that and we’re very pleased with the results. And when we look at inventory, we look at it in multiple ways, two of which is the allocation of inventory. And by that I mean the allocation of the – how much of our total inventory’s in the distribution center and how much is in our stores. As I mentioned, while our inventory is down in total, there is actually more inventory residing in the stores at the end of the quarter, which means that all of that decrease took place within our distribution center. So we’re very pleased with that. And we also look at the composition of our inventory, and that’s between the active inventory versus inventory that is being phased out. And we’re also very pleased with that. So our inventory is clean and we feel good about it. We’re pleased that the systems that we put in place and the processes that our people internally are utilizing to manage inventory very closely. And just to follow up on the accounts payable question, that’s also what we got in the end of Q1. It’s pretty consistent with what we had at year end as well, just one quarter ago.
Bernard Sosnick: Okay. One other question; it’s customary among retailers during a period in which there’s a big Easter shift to provide an indication of smooth sales of March and April combined. Could you give us some clue as to what that might look like?
David Abelman: Bernie, this is Dave. We had some discussions about this and I understand what you’re saying about what the retailers typically do. Historically we have not given information regarding the subsequent quarter during these calls. And because we are in the process we’re in now, as Joe mentioned, about the Board looking at strategic alternatives, it would be inappropriate for us to start changing the metrics that we provide during the call. So we’re not going to provide guidance regarding that today.
Bernard Sosnick: Understood. Thank you.
David Abelman: Thank you.
Operator: We’ll go next to Jack Balos of Focus Research.
Jack Balos: Just more clarity in terms of your current position in inventory. What percent of it would you say is fresh inventory and what percent of it is phased-out goods? Are you at a stage now that you consider your mix normal?
David Abelman: Yes. We have. It’s improved. Now, we don’t give the specific percentages regarding our active versus that inventory that we’re in the process of phasing out, but we do think that we’ve reached an ongoing steady state. And as I mentioned previously, because of all the efforts that we put into this system and our people here at the office and in our stores, we’re really focusing on inventory. We’re pleased with the composition of inventory and how it stands.
Jack Balos: All right. So if the composition of inventory is now normal, why aren’t you getting better sales relative to your competitors?
Joe Jefferies: I think there’s a couple of things there. I mean, we’re still fighting to turn the company around. There’s no question about that. I think that our distraction in the past few years, when the company shifted its focus internally, I think it’s fair to say that we gave our customers a reason to look elsewhere. So we’re rebuilding this brand. And is it taking longer than any of us would like? I would have to agree with you that it is. There’s no question about that. That’s why I think that we’re – I think we’re turning the corner and headed in the right direction. I wish I could report back to you that it was moving quicker and we were making up our ground, but I can’t do that today. But the inventory piece of it was a big, big top-line eroder for us as we battled through the composition of our inventory. It certainly eroded and cannibalized the sales of our better inventory. But those days are behind us now. Our inventory’s literally in the best position that it’s been in at least in the three years that I’ve been with the organization.
Jack Balos: So I guess what’s needed now is that the selection of the inventory be more attractive to your customers?
Joe Jefferies: There’s no question. We missed the boat there for too long of a time on seasonal. You heard us talk about that, being completely honest with everybody, that our seasonal misses certainly drove traffic down and drove customers into other retailers to show. Our activity and our improvements around seasonal today are real. They’re making a difference and the upcoming big seasonal quarters that we have ahead of us, we feel we’re going to gain market share back and get our share of wallet back.
Jack Balos: And theoretically you should be heading into a period where you should be reporting comps store sales gains. Is that right?
Joe Jefferies: Obviously, I’m not going to comment on that, but we’re certainly looking for improvement.
Jack Balos: Thank you.
Joe Jefferies: Thank you.
Operator: We’ll go next to Mark Mandel of ThinkEquity.
Mark Mandel: Thanks. Good morning, everyone.
Joe Jefferies: Hi, Mark.
Mark Mandel: David Abelman spoke about enhancement opportunities in the gross margin area. I was just wondering if you could elaborate a little further on that?
David Abelman: Sure. I’ll take that. As I mentioned, we’ve done extensive rebuilds in many of our departments along with really taking responsibility to improve the composition of our inventory. With much of that behind us, obviously, we’re going to continue to do line-in and line-outs and refresh categories that makes sense and items that makes sense. But for the most part, the major clearancing and rebuilding of the departments is behind us. And now we’re focused on our everyday price management where there’s opportunities, our promotional price management, where there’s opportunities and enhanced margin, and continuing to offer the value proposition to our customers and offer the right mix of product at the right price. And we believe we’ll continue to have some margin opportunities as well.
Mark Mandel: It’s obviously difficult to leverage occupancy when your comps are declining, but are you getting any rent relief or any easing of leasing costs from the landlords?
Joe Jefferies: Yeah, this is Joe. We – we look at that all the time, as you know, and we put an awful lot of effort into renewals and negotiations with our landlords. And we’ve had some success and we’re going to continue to have those conversations and to look for opportunities that improve our occupancy costs. But there has been some success.
Mark Mandel: Just moving onto the SG&A line for a moment, a 3.8% year-over-year decline in dollars on SG&A expenses, can you give us some idea how that might progress going forward? Obviously that’s going to be tough to sustain even if you keep your store base constant.
Joe Jefferies: Mark, as mentioned earlier, that’s not an item that we’ve historically given specific guidance to and given the state of the process that we’re in, speaking strategic alternatives, it would be inappropriate to start providing guidance that we haven’t provide historically. So we can’t comment on that today.
Mark Mandel: And just this one final topic I wanted to discuss. In terms of the younger customer that you’re focusing on, I mean, it seems like the younger folks are increasingly preoccupied with electronics and gadgets and so on. How do you address the challenge of getting the younger customers – and I don’t mean the elementary school age, I mean that customer between say middle school and adulthood. How do you get that customer engaged in crafting? How do you address that issue?
Joe Jefferies: That’s a great question, Mark. And as we look at our composition to customers, we see younger customer moving towards self-expression and instant gratification. So businesses that we’ve talked about like cake decorating/candy making, that business has really been fueled by a younger customer with the success of reality shows like Cake Boss. And there’s been a lot of talk about the fabric business and everything happening with Project Runway. There’s a lot of knitting, crocheting, needlework happening with the much younger audience in that area. And you look at an area like T-shirts and T-shirt embellishment, that’s a much younger customer. So throughout the store, category by category, jewelry and beading is a younger customer because it’s quick, easy and fun. I think the crafting is continuing to generate interest across all age levels and we’re very optimistic that younger customers, moms with kids, the tween market and the teen market continue to shop our store.
Mark Mandel: Okay, thank you, and good luck.
Joe Jefferies: Thank you.
Operator: We have a follow-up question from John Zara of Bourgeon Capital.
John Zaro: Hey guys, I know that maybe this isn’t the right time to say this, but I would offer a suggestion to you guys.
Joe Jefferies: Sure.
John Zaro: Maybe in the next couple of quarters. One is to have a little bit more detail in your – when you issue your financial results. I mean, it just seems a little – a little bit of a lack of detail. So that’s number one. And number two, the idea of doing things as Bernie suggested and what I asked you as far as just what’s going on out there, I know you haven’t done it historically, but lots of people in retail do and since you guys are sort of re-introducing yourselves out there to try and get some leverage and some growth in the community, maybe telling us what’s going on like other retailers do, balancing out when Easter’s late and things like that, is a little bit more appropriate going forward.
Joe Jefferies: Okay.
John Zaro: It would be a lot more helpful to all of us who are investors, as I’m sure it would be helpful to the analysts as well. And I know you haven’t done it historically, but A.C. Moore hasn’t done a lot of things historically and you guys are sort of the new fresh blood that are supposed to take us in a different direction. So just a…
Joe Jefferies: Yeah, John, we’ll certainly take that into consideration. And we’re also a little bit constrained given the process that the company is in. But I hear your comments.
John Zaro: Right. But – and again, that was the reason why I said it shouldn’t really take that long for you guys to decide one way or another on the other things because – one way or another it constrains you. Whether it’s talking to us or deciding what you’re going to do moving forward.
Joe Jefferies: I appreciate it, John. Thank you.
Operator: We have no other questions in the queue at this time.
Joe Jefferies: Okay. Well, if there’s no additional calls, I’d like to close by saying that our management team here at the support center, we appreciate all the efforts of our corporate associates and our store teams. All of them who are working very hard and committed to improving our performance and making a difference every day, not just for our company, but for our customers, which is really what this is all about. We thank you for joining us today and for your continued interest in A.C. Moore. Have a great morning. Thank you very much.
Operator: That does conclude today’s conference. Thank you all for your participation.